Operator: Morning, everyone. I'm Martin Dunwoodie, Head of Investor Relations at Johnson Matthey. And a very warm welcome to our Half Year Results Presentation. It's the first time we've done this in person for two years. So, it's very good to see you all.  I'm very pleased to introduce today our chair, Patrick Thomas; our Chief Executive, Robert MacLeod; and our Chief Financial Officer, Stephen Oxley. We're going to have a presentation as usual, followed by Q&A.  And with that, I'll hand over to our chair, Patrick Thomas. 
Patrick Thomas : Thank you very much, Martin. And I'd like to welcome you all here this morning. Thank you also to all of those of you who have dialed in on our webcast, and I look forward to hearing your questions later on,  As Chairman of Johnson Matthey, I think it's very important that I'm here today at the results to set out the context of how our business is positioned for the future. Given the recent announcement of our intention to exit Battery Materials and some of the other changes that you have seen, I'd also like to give you some background on the board's decision to appoint Liam Condon as our next chief executive.  Following our announcement two weeks ago, I've spoken to many of our stakeholders and a large number of shareholders. And I would like to first start by thanking them for taking the time to speak to me in the past weeks and for the feedback that they've been able to give me.  It was a challenging decision that we took on Battery Materials, and I'll appreciate that it was a disappointment to many of you. But it was driven by our commitment to deliver value for our shareholders through disciplined capital allocation. And it is the right thing to do in the long run. It will enable us to focus our resources on higher returning growth opportunities as a core to the group's capabilities. Nevertheless, the board nigh regret the impact on the share price, and we're determined to restore the value to our shareholders and much more.  We have today announced even further steps to simplify our portfolio in order to focus on our core growth opportunities. You'll have seen this morning the announcement of Advanced Glass Technologies. And in addition, we are in discussions about a potential sale of Health, and we'll provide an update on its conclusion in due course.  Following the sale of Advanced Glass Technologies, we've also announced that we will be returning £200 million to shareholders through a share buyback process. We also recognize the need to return to the important topic of capital allocation in due course.  I want to emphasize that the foundations of the group are strong, with our Clean Air business set to deliver £4 billion of cash in the next 10 years, and the Efficient Natural Resources business already a leader in many of its markets. We're well positioned to deliver attractive growth. We have great opportunities within Efficient Natural Resources in helping our customers to decarbonize many chemical and industrial processes and our recycling capabilities will help to create a circular economy.  In hydrogen, our leading technologies in fuel cells and in both green and blue hydrogen mean that we're well positioned to benefit from this opportunity that is growing and coming towards us faster as the world accelerates in the transition towards net zero.  Importantly, many of these technologies needed to tackle climate change are underpinned by our catalyst and metals expertise, which has been developed as a backbone of Johnson Matthey over the many decades. Metal is at the absolute core of what we do. And this is why we are the trusted partner of choice for our customers and why we're positioned to win in these markets.  We'll have a new chief executive officer, Liam Condon, who will join us on the first of March next year. Robert has been our Chief Executive Officer now for a period of nearly eight years. And he discussed with the board some time ago his intention to retire. I never think he looks old enough to actually qualify to retire, but apparently that is the case.  On behalf of the board, I would like to thank him for all the work that he has done to move Johnson Matthey forward. Thank you, Robert.  We had a very rigorous and wide-ranging selection process to select Liam as the right person to succeed Robert. We began the process at the start of the year and engaged a well-respected external agency to manage the process. It has been extremely thorough, evaluating a number of external and inter internal candidates, and we have ensured that we have taken sufficient time to find the right person.  Liam was the unanimous and standout candidate in the board's view as the right next chief executive for the company's future. Liam is a dynamic and values driven leader. He has a track record of leading science-based businesses, whilst delivering consistent performance. Importantly, he is commercially focused on driving growth, as well as in modernizing organizations. He has a strong external engagement with stakeholders, regulators and government, and he has operated extensively in Asia, the Americas and Europe. He will be meeting several of the shareholders in the next week, and I look forward to you having the opportunity of meeting him in the future.  Liam's attributes will all be key for Johnson Matthey as we continue to globally commercialize and scale our attractive high growth businesses to address the climate change challenge. On behalf of the board, I welcome warmly Liam to the roll and wish him great success.  Let me also be very clear about the board's priorities. We are first and foremost focused on creating shareholder value. We have a set of strong valuable businesses which provide a foundation for exciting growth opportunities. When Liam joins, he will have a remit from the board to conduct a complete review of the strategy of our group to determine how we can best deliver value for you, our shareholders. There are no preconceptions or sacred cows.  We also recognize that this requires urgency, and we will ensure that Liam hits the ground running on March 1, so he can report back to you by the time we announce our full year results later in May.  Robert and Stephen will now take you through the performance in the first half and update you on some of the other progress we have made in our business. And I look forward to any questions you may have afterwards. Thank you.
Robert MacLeod : Thank you, Patrick. And good morning, everybody. Today, I plan to talk about our current business and our future growth opportunities before handing over to Stephen to take you through our financial performance.  But first of all, we delivered a resilient trading performance in a challenging environment where some of our key end markets saw weakness, particularly in the second quarter. We have strong foundations in cleaner and efficient natural resources. And it's the science, particularly in metals chemistry, which is at our heart that underpins these businesses, and will enable us to develop and win in new areas such as hydrogen.  We are focusing our investment in delivering on large scale opportunities in climate change solutions, where we have leading technology and can generate future value for all of our stakeholders and society. And to that end, we've made some decisions around our portfolio, which I'll take you through now.  We recently announced that we intend to exit our Battery Materials business and are now pursuing its sale. While our technology was testing well with customers, it became clear that our capital intensity was too high to deliver adequate shareholder returns in a market which is commoditizing rapidly.  We have some excellent capabilities, but it's too early to assess their value. However, for accounting purposes, we have fully impaired our assets until we have resolved the sales process. And we will, of course, update you as soon as we can.  On Health, recent business performance has been challenging, largely due to labor market shortages in the US. And while we continue to make progress with our new products pipeline, we no longer have the view that the business will achieve £100 million of additional operating profit by 2026.  This is due to a combination of factors, including a reduction in the value from that pipeline, a weaker outlook in the existing business due to pricing pressure, and higher investment requirements. But as Patrick said earlier, we're in discussions about the potential sale of the business, and we'll update you when we can.  In addition, we've also announced today the disposal of our of our Advanced Glass Technologies business. And given our strong balance sheet, we will return £200 million to shareholders via a share buyback commencing in the new year.  These changes will enable us to focus our future investments. All our businesses have one thing in common. The scientific expertise that has been at the heart of JM since its beginnings. Our complex metals chemistry and catalysis expertise underpins all of our current and future businesses. It creates synergies across the group, has been developed over many decades, and it's hard to replicate.  While our PGM know-how, sourcing, management and recycling is critical for Clean Air, it also supports our future hydrogen technologies such as fuel cells and green hydrogen.  Our Catalyst Technologies business also relies on our catalysts and engineering expertise. Our fundamental skill sets are interchangeable across the group, and are readily applicable to the development of a catalyst in Clean Air, Catalyst Technologies or in hydrogen.  So, it's our scientific expertise that will lead the way in tackling climate change, as global demand for sustainable solutions accelerates. But it's not just about having great science. It's about how we commercialize it. And I'll talk more about our growth drivers on the next slide.  We have three key growth opportunities that each leverage our science capabilities. These businesses are extensions of our current offerings in circularity, hydrogen technologies, and the decarbonization of chemical processes. This is where we want to focus our resources and capital, where we have strong products today and competitive advantage going forward. These opportunities are, of course, all underpinned by our strong balance sheet and sustained cash Generation in Clean Air.  So, looking at each in turn, and starting with Clean Air. As you know, this is the cash engine of the group. It plays a hugely important role in reducing harmful emissions from vehicles, as regulation continues to tighten globally. And we are targeting cash generation of more than £4 billion over 10 years. And we'll do this through flexing a number of different levers.  The first is targeting the strategic business we want to win. We will maintain our leadership positions in light and heavy duty diesel, and we are being selective and targeting key gasoline platforms. We're already winning future Euro VII business that we have targeted. These tighter Euro VII regulations are expected to come into force in 2026 or 2027. And while they will not drive a significant value uplift per vehicle, their increasing complexity should ensure that our pricing remains strong.  Second is driving cost efficiencies. About 75% of Clean Air's cost base is variable. The remainder is fixed at around £550 million today. Our target over the decade is to reduce this by at least £100 million. And whilst there is some lumpiness here, you can think of this as declining in broadly a linear fashion. But of course, this can be flexed depending on how the market changes.  We're already delivering on our efficiency programs, but the biggest cost lever going forward is the consolidation of our manufacturing footprint. We have 16 manufacturing sites globally. But our five newest plants, two in Europe, two in Asia and one in the US are highly efficient. This gives us the option to consolidate as the market matures. And we know how we could do this.  We have already significantly downsized our most expensive plant, which is located here in the UK and are on track to fully close it in 2023. £100 million of research and development is included within our fixed costs. But we must continue to invest in R&D through new legislation cycles, but we'll act quickly to adjust as the legislation winds down and the market matures.  Third is capital efficiency. Recent average capital expenditure in Clean Air has been around £135 million per year. But with our last strategic investments now behind us, we're targeting CapEx of around £50 million per year in 2025.  And lastly, working capital which will unwind in line with sales as the business matures, obviously, of course, subject to metal price movements. And at the start of this year, there was around £2 billion of working capital on Clean Air's balance sheet. So, I hope this gives you a sense of how we plan to navigate the transition and generate cash in Clean Air, and at the same time confident that we have a plan to do so.  Turning now to circularity. PGM Services is the world's largest secondary recycler of platinum group metals. We have a significant segment share and are more than twice the size of the next largest refiner and billions of pounds of metal flow through our refineries every year. Recycling will be critical going forward as many sustainable technologies, for example, hydrogen fuel cells and green hydrogen electrolyzers need scarce metals, such as platinum and iridium.  As our customers have to reduce the carbon intensity of their products, they will value recycled metals more than those from primary sources. This is principally because the carbon intensity is around 2% of primary source metal.  For many decades, the recycling of PGMs was purely an economic decision. But this is now a fundamental change. It gives us the opportunity to capture more value from our services, as our customers will know that their raw materials come from a low carbon, sustainable, and reputable source. And we have a strong foundation to expand our offering and to help our customers designed to recycle, further enabling the circular economy.  And we're in the midst of an asset renewal program across our PGM refineries. This will take several years more, but will benefit returns as the capacity and resilience of our refineries is enhanced.  Moving on now to Hydrogen. We're already an established player with a suite of hydrogen technologies, including fuel cells to enable the decarbonization of transport and blue and green hydrogen production to decarbonize energy.  As a reminder, our blue hydrogen technology sits in Efficient Natural Resources as the technology, customers, manufacturing processes and reasons for our success are very closely aligned to our Catalyst Technologies business.  A key part of our success in fuel cells and green hydrogen is our expertise in precious metal chemistry. Also, the potential to offer our customers closed loop solutions as well as security of supply is a competitive advantage. We're already working with many of the leading players in hydrogen and will continue to further build our customer pipeline.  On the fuel cell side, in May, we signed a development and long-term supply agreement, starting in 2022, with a major German auto supplier. This customer has recently quadrupled its market expectations or demand expectations, which shows the pace at which this market is accelerating.  And more recently, we signed a new five year framework contract with EKPO Fuel Cell Technologies as a joint venture between ElringKlinger and Plastic Omnium, mainly for use in commercial vehicles.  And you might ask why these customers are coming to us. It's because of our existing capabilities and know-how built up over more than 25 years. This offers customers greater performance, power and durability from their stack, allowing them to accelerate their journey to bring a competitive product to market. We understand how our CCM performs in their stack and can customize it to help optimize their technology offering.  On the green hydrogen side, our focus is the development and manufacture of catalyst coated membranes for PEM electrolyzers. And we're already collaborating with major electrolyzer manufacturers. We expect our first commercial sales next year and rapid growth beyond that.  Earlier this year, we signed an MOU with Plug Power and, last week, we signed one with Hystar, a newly established Norwegian high tech spin-out company, for the supply of key components for green hydrogen production. These are the customers who we can talk about publicly, though we have a strong pipeline of other opportunities.  Today, we have manufacturing capacity of around 2 gigawatts which can be used for either fuel cells or green hydrogen, but a significant proportion of that capacity is currently being used for new customer development and qualification.  We have customer contracts in place. So, now we need to scale up our manufacturing capacity quickly in line with our ever-growing expectations. And this was partly behind our acquisition of the Oxis assets earlier this year, which we are further developing.  And we're also planning expansion in the UK and in China. While this is not a highly capital intensive business and certainly a long way shy of Battery Materials, we will need to invest around £250 million over the next three years on manufacturing and testing facilities. Moving now to decarbonization. Chemical value chains need to decarbonize. This will require technologies and processes to abate any carbon produced from existing plants and also alternative routes to produce the same chemicals and fuels without using fossil fuels.  Today, around 40% of major primary chemicals come from syngas, a key chemical building blocks used to make hydrogen, methanol, and ammonia, all of which we use in everyday products like consumer goods, fuels, building materials and food production. Decarbonization requires a reengineering of the value chain, different processes and different feedstocks.  Our Catalyst Technologies business is at the heart of this transition. We have leading positions in the supply of both technology and catalysts. And it's that combination that gives us competitive advantage and the confidence that we can drive high-single digit growth in this business over the medium term. And we're already seeing our technologies starting to be used to enable the energy transition today.  In blue hydrogen, we have leading low carbon technology, enabling capture of well over 95% of the carbon dioxide. This is based on our deep methanol expertise. And because of that, we are a trusted partner and we now have a pipeline of over 20 potential projects. This includes HyNet, which is one of two projects recently selected by the UK government as part of their plan to deploy carbon capture and storage and provision of hydrogen as an energy source in at least two industrial clusters by the mid-2020s.  Other opportunities for us are sustainable aviation fuels and Power to X. And by that I mean converting renewable electrical energy into chemicals or fuels. To give you some tangible examples, over the last few years, we've worked with BP to develop the process technology in Catalyst for one of the world's first projects to produce sustainable aviation fuel from municipal solid waste.  Our technology delivers 3 times the productivity and requires half the capital expenditure when compared to traditional processes. And during the half, we supplied and supported the loading of the first catalysts to Fulcrum.  Also in this space, we were recently selected by Repsol and Aramco as the technology partner for their power to liquid fuels project in Bilbao. We were chosen due to our syngas expertise, proven track record of scaling up processes, and the overall carbon efficiency of the solution.  We have in excess of 20 projects in the sustainable fuel cells and chemicals pipeline, covering carbon dioxide and hydrogen, municipal solid waste, and waste biomass feedstocks.  In terms of low carbon solutions, the immediate opportunity here is the decarbonization of the installed base. In other words, helping our customers to reduce their emissions. And the near-term focus is on around 150 plants operating in Europe and North America.  It's too early to put a number on the potential value we can provide as the solutions will vary depending upon geography and the size and type of plant. But we're in a strong position to help, given our strong technology and deep customer relationships.  For all these opportunities, we've given you an idea of the addressable market sizes from now until 2030. And given that many of these markets are still nascent, no one quite knows the pace at which they will develop, which is why you can see quite a wide range of potential outcomes.  As we help to build a more sustainable future for society, we're also leading the way by decarbonizing our own operations and supply chains. We have committed to being net zero by 2040. And in April 2021, we signed up to the UN Global Compact business ambition for 1.5 degrees C.  Alongside this, we've committed to our own size and space targets, an absolute reduction in scope 1 and scope 2 greenhouse gas emissions of at least 33% and our upstream scope 3 greenhouse gas emissions of at least 20% by 2030. These have recently been verified by the Science-Based Targets initiative.  As an example, in order to help achieve these goals, we aim to source at least 60% of our energy from renewable sources by 2025. Our targets are challenging, but they reflect our commitment to sustainability and they are being increasingly recognized by our stakeholders. So to conclude, we've announced our intention to exit Battery Materials and agreed the sale of AGT. And the proceeds of this will be returned to shareholders via our announced share buyback.  We have strong foundations in Clean Air and Efficient Natural Resources, which are performing well despite a challenging environment. We're taking advantage of our core scientific expertise in metals chemistry, to focus on three areas, circularity, hydrogen and decarbonizing chemicals, where demand is accelerating, driven both by regulation and by pressure from stakeholders.  So I'll now hand over to Stephen to take you through our financial performance.
Stephen Oxley : Thank you, Robert. Good morning, everyone.  For a start, let me just remind you of the key priorities we set out in May, which will tell you how we're managing the business and give you the context for our decision to exit Battery Materials.  Our first priority is better execution. We need to bring more discipline to our capital projects, further efficiencies in the business and improved performance. Second is capital allocation, focusing on those areas of the business where we can deliver attractive financial returns. And the third is growth. As the world decarbonizes, we're pivoting away from the internal combustion engine to high growth, high return green opportunities, underpinned by our core science and technology opportunities such as hydrogen technologies, renewable fuel cells, and materials recycling.  So let me now turn to the headlines. We've delivered a resilient performance in a challenging environment. Sales grew 21%, underlying operating profit doubled, and underlying earnings per share increased from £0.48 to £1.15 against the first half last year which was impacted by the pandemic.  In most of our end markets, underlying demand has been strong. But our performance has been affected by supply chain and labor shortages, especially during the second quarter. We're navigating these challenges by controlling the things that we can control. For example, we aim to deliver £110 million of annualized savings by 2023, 2024, and we're well on track. We've delivered £42 million of efficiencies in the first half, helping to mitigate pricing and cost pressures. And this equates to £87 million on an annualized basis.  Our balance sheet remains strong. We continue to manage our working capital tightly and net debt has remained broadly flat at around £700 million, resulting in a net debt to EBITDA ratio of 0.90, and that's below our target range of 1.5 to 2 times.  Finally, our proposed interim dividend is £0., up 10% on last year.  So let's now turn to the financials in more detail. Overall, group sales for the first half grew 21% to £1.9 billion, up from £1.7 billion in the first half last year. This growth was driven by Clean Air, as well as a strong operating performance in Efficient Natural Resources, which also benefited from higher average metal prices.  Underlying operating profit grew to £293 million, driven by both higher sales and a focus on efficiency across the group. Precious metal prices remain high compared to historic levels. And as you can see, we benefited by around £70 million in the half. However, prices were down from year-end, especially for rhodium and palladium due to that lower auto production. Excluding the impact of precious metals prices, underlying profits grew 54%. Corporate costs were higher, and we're taking steps to manage that.  So let's now look at our sectors in more detail. In Clean Air, there was a good recovery across all regions, with sales up 24% to £1.2 billion, outperforming global automotive and truck production.  Performance was especially strong in our heavy duty business in the Americas, and we hold a significant proportion of the market there. This was driven by a cyclical rebound in Class 8 to trucks.  In China, we continue to be benefit from a value uplift with the ongoing rollout of China VI emissions legislation for heavy duty vehicles. And we're now substantially through this uplift, which we'll annualize over the first half of fiscal 2023.  We ended last year with a strong performance, and this continued through the first quarter. However, the second quarter was more challenging as automotive and truck production was impacted by supply chain shortages, mainly of microchips. Data suggests some small improvement in October, but it's too early to be certain, and visibility remains limited. As a result, we're taking a more cautious approach on the full-year guidance. Demand for new vehicles remains strong. So when shortages ease, we do expect volumes to recover.  Despite these shortages, Clean Air roughly doubled its operating profit to £150 million helped by its new operating model. We're responding to lower volumes by adjusting shift patterns, revising commercial terms with our customers, and continuing to optimize production across our manufacturing footprint.  We're starting to see the benefit of efficiency savings in our operating margin, which at 12.5% is now trending towards pre-pandemic levels. And this should further improve towards our target of 14% as supply chains normalize and volumes recover.  Finally, we're on track for a strong cash generation for the full year.  Moving on now to Efficient Natural Resources where sales grew 33% to £523 million, and both businesses performed well. I'll start with PGM Services where we play a crucial role in the supply of platinum group metals. Sales grew 46% to £300 million, driven by higher and more volatile metal prices, as well as a strong operating performance, driving increased volumes through our refineries.  In Catalyst Technologies, there are three revenue streams. We licensed technology for plant design, we sell first fill catalysts, and then refill catalysts over the life of the plant. The large majority of our revenues are generated by refill catalysts.  Sales in CT grew 19% to £223 million as demand for refills increased across all of our key segments, particularly in markets where orders were delayed as a result of the pandemic, such as in methanol.  We won two further licenses in the first half and our licensing pipeline remains strong, including new technologies focused on carbonization such as blue hydrogen and sustainable fuels and chemicals.  Underlying operating profit in Efficient Natural Resources more than doubled to £197 million and margin grew from 21.4% to 37.7%, driven by a £60 million metal price benefit and that strong operating performance.  Moving on now to look at Health. Despite a strong underlying end market demand, sales decreased 26% compared to the same period last year. Like many similar businesses, we've been affected by acute labor shortages. In the US, we've experienced staff attrition levels of more than 30% and vacancies running at 10%, which has impacted our ability to make and ship product.  In generics, we've also been affected by price erosion and the impact of delayed elective procedures for our specialty opioids. And as Robert mentioned, we're in discussions about a potential sale of Health and we will update you on that as soon as we can.  Moving on to other markets. We've refocused this segment to simplify and give greater visibility of our progress and opportunities. Our markets now consist of new markets, including hydrogen technologies, which comprises fuel cells and green hydrogen, both businesses that we're investing in. And for the time being, it also includes Battery Materials. Then our value businesses, which we are managing for exit as they are non-core.  So, let me talk first about hydrogen technologies, starting with fuel cells. Our fuel cells business is well established in making components used across a range of applications. Increasingly, our fuel cells are being used in trucks and buses, particularly in China and 50% of our sales are to the automotive industry.  In the first half, fuel cells revenues declined due to temporary manufacturing issues as we ramped up on new facilities in the UK and China. In green hydrogen, we produce key components used in PEM electrolyzers that split water into hydrogen and oxygen using renewable energy. We're working hard to commercialize this business and expect our first commercial sales in 2022.  And as you know, we've recently announced our intention to exit Battery Materials. We have started the sales process, but the timing and means of exit is not yet certain.  By the end of October, Battery Materials have £340 million of assets, of which £200 million relate to our partly constructed plant in Poland. At this stage, it's too early to perceive what somebody may pay for the business. But pending the sale, we have taken the prudent decision to fully impair these assets at the end of September. Should we be unable to sell part or all of Battery Materials, we may incur further impairment charges, closure or abandonment costs. Battery Materials had roughly £20 million of operating costs in the first half that will not recur after exit.  Finally, our value businesses that have collectively delivered good performance, with sales up 11% to £175 million. As you heard earlier, we've also announced the sale of our glass coatings business, AGT, for £178 million, helping to further simplify the group. This transaction is expected to complete before our year-end.  I've covered sales and operating profit. So let's now look at the rest of the income statement on an underlying basis. Finance charges decreased from £41 million to £29 million, reflecting lower levels of debt and metal borrowings. So we're starting to reap the benefit of tighter working capital management through our finance charge.  Underlying earnings per share increased from £0.48 to £1.15. And the effective tax rate of 16% is broadly in line with the same period last year. But, of course, tax increased as a result of higher profits.  Our reported results include an impairment charge of £314 million for Battery Materials, being the capitalized costs at the end of September. In addition, we've recognized income of £44 million outside of underlying in relation to a longstanding intellectual property dispute in China. We've received this amount in full in cash. And this is an important step, ensuring that we receive value for our work as a world leader in these technologies.  Looking at cash. We generated £189 million of free cash flow in the first half. This compares to £256 million last year. Supply chain disruption across automotive and truck production resulted in a benefit to precious metal working capital of around £300 million, which will unwind as production recovers. Non-precious metal working capital increased partly as a result of higher inventory levels in Clean Air. And we'll continue to focus on maintaining an efficient balance sheet and low levels of working capital.  Before I come to the full-year outlook, I want to cover how we aim to drive long-term returns and value creation through a strong grip on our balance sheet and a disciplined approach to capital allocation.  We've got a number of levers to generate cash. In Clean Air, we aim to deliver at least £4 billion of pretax cash over the next 10 years. Efficient Natural Resources will also generate cash driven by decarbonization and circularity and we'll continue to optimize our portfolio by divesting non-core operations, including our value businesses. Our approach to capital allocation is designed to build high return businesses with an appropriate balance of shareholder return and risk. And at the same time, we must retain a strong balance sheet, given the metal working capital requirements across the group. Our strong cash generation and balance sheet gives us the flexibility to consider a range of options that drive value for shareholders. This includes investing for growth in climate change solutions where we will target opportunities that drive meaningful returns, paying a sustainable dividend, and, of course, where we have excess cash, returning this to shareholders.  Our year-end forecast shows our net debt ratio returning towards the lower end of our target range, excluding the AGT sale proceeds. This gives us the capacity to return £200 million to shareholders through a buyback that we will commence in the new year.  Turning now to capital expenditure. Following the decision to exit Battery Materials, we have revised our CapEx output down for this year by £150 million to around £450 million. This includes roughly £150 million of spend in Battery Materials.  Beyond FY 2022, we expect CapEx to be around £400 million based on current plans and excluding Health. Around £200 million of this is sustaining CapEx and the remainder is investment in hydrogen technologies and our PGM refineries, both areas where we have existing expertise and attractive returns. And once our new chief executive is in place, the board will review our strategy and investment requirements, and we will update shareholders in due course.  Finally, turning to the outlook for the full year, which is in line with the guidance given on the 11th of November. Whilst demand in many of our end markets remain strong, the environment has become more uncertain since our trading update in July, given supply chain reduction.  Global auto production is now forecast to decline 5% in our current fiscal year, which is a 14% reduction since that trading update. Given lower auto production, a weak performance in Health and ongoing supply chain shortages, we have reduced our outlook for full-year underlying operating performance to a low-single digit growth.  In addition, precious metal prices have declined with lower demand from the auto industry. We now expect a full-year metal price benefit of around £45 million compared to £120 million guided in May. We anticipate a headwind of around £15 million from foreign exchange. As I just mentioned, we expect CapEx to be around £450 million.  So in summary, we've delivered a resilient performance in challenging conditions, with a strong uplift in sales, underlying operating profit and underlying earnings per share. We're working hard to mitigate the impact of challenging market conditions by managing those things that are within our control.  We're on track to deliver our targeted efficiency savings and are generating strong cash flows. We're actively managing our portfolio to focus our allocation on areas of growth and attractive return. And as a result, we intend to exit Battery Materials, have sold AGT and are in discussions to sell Health.  And finally, we will return excess cash to shareholders with a £200 million buyback.  And with that, I'll hand to Robert for questions. 
A - Robert MacLeod: Thank you, Stephen. So, now time for questions, if you have any. I see a couple of hands up. Quite a few hands up very quickly. So why don't we start at the back? Nancy, you decide who goes first.
Gunther Zechmann: If I can start with a couple of question. One thing that you put in previous statements, but that was missing here is that £200 million revenue target from hydrogen by 2025. I noticed that, in the half, hydrogen sales were down. You explained that. Can you just confirm whether that £200 million are still the target please?  And then, secondly, in Clean Air, you talk about being selective in Euro VII. Sounds like you're walking away from business. Is that the right interpretation? And if yes, then why?
Robert MacLeod: The answer to the first question is yes. We absolutely are still confident in our target for fuel cells. And, of course, the announcements we made today or the comments we made today firstly about the German auto supplier quadrupling their requirements and the framework contract with EKPO gives us even more confidence that that number is deliverable. And, look, it's a fast accelerating market and we can't be sure exactly what the output will be in five years' time, but we're very, very confident that we'll deliver that number at least. On Clean Air, Euro VII, look, we've been very clear about the business we want to win, with the customers we want to win with the highest returns. And so, it's all part of our strategy about driving that cash flow generation from Clean Air. And that's the decision we're making about how we actually make sure we can maximize the chances of success. So we are being highly selective. 
Alex Stewart: It's Alex Stewart from Barclays. Two questions, I think for Stephen probably. Your new markets or other markets businesses annualizing at roughly £20 million negative EBIT. AGT was about £20 million positive EBIT. So, the sort of pro forma annualized number is minus £40 million. Can you comment on how much of that is cost derived from the eLNO which will disappear and maybe what we expect the other markets to be on a runway in future, given all the moving parts would be really helpful?  And then, on working capital, can you possibly tell us what the receivable factoring position is? I know that's a very specific question, but you disclosed it at the full year. And I don't think it's in the half-year release. And then secondly, you have working capital days of around 40 at the first half. Your target is 50 to 60. Can I ask whether that target is still applicable and whether, therefore, reversion to 50 or 60 is likely at some point and over what timeframe? 
Stephen Oxley: I'll just deal with these in reverse order. So the target on working capital days remains 50 to 60. It was simply down because it's the averaging effect for the half with a strong first quarter, but expect that to return towards the target.  Metal factoring, yes, you're right, we've got full disclosure of that in the annual report to year-end. The policy in practice is exactly consistent through to half year, so no change there.  On the new markets forward guidance, so the guidance includes Battery Materials essentially, as I said, the operating costs in the first half of 2020 or so. So, you can double that. But that, of course, will come out as we exit that business.
Alex Stewart: In other words, the run rate is flat for EBIT, minus £40 million, plus £40 million for Battery Materials you're not carrying?
Stephen Oxley: Just taking those two things. 
Alex Stewart: Yeah. Okay. Thank you. 
Stephen Oxley: But then, of course, we'll see the growth in hydrogen technologies coming through. 
Alex Stewart: Sebastian Bray of Berenberg Bank. My first one would be on the performance of light duty diesel within auto catalysts. Has the European diesel market share attributable to Johnson Matthey gone up again? And if so, specifically now around 90% on new platforms, if I look at the underlying market performance and compare that to JMatt, is that approximately the right number? My second question is on the breakdown of the £400 million of CapEx. It's still quite a lot. It's double depreciation. And, Robert, if I take your earlier words on hydrogen investment, we go from £200 million maintenance, £270 million if you include the hydrogen, maybe £330 million if you have PGM upgrades, where does the rest go? And are these assumptions right?  Finally, two last questions, one technical and one on fuel cells. What's the reasonable assumption for finance costs for the next few years? And is there any reason for assuming that fuel cell catalysts will make a different margin in the longer term to other stationary catalysts? 
Robert MacLeod: I'll start with the first one, then Stephen can do the second two and then I'll come back with the last one.  Firstly, on light duty diesel, no, look, I don't think our market share has gone up. The platforms that we won, we won a few years ago. We haven't won any new platforms or lost any new platforms. I think there's a bit of a mix change in the first half. There's a platform mix change as our customers choose particular platforms for our products. But it's a mix from the customers rather than a market share change for us. 
Stephen Oxley: So, I'll pick up the CapEx. As you say, lower CapEx of £400 million for the next few years, £200 million of that is sustaining and that's about a one to one ratio on depreciation and amortization. The balance is growth. And as you say, that's about £250 million in hydrogen technologies. And the rest is going into our refineries. As we talked about at year end, that is really renewal in both the UK and China. And that investment will go on for the next few years.  Apologies, I missed your third.
Robert MacLeod: Finance charges guidance.
Stephen Oxley: For the business as a whole? 
Robert MacLeod: Yeah.
Stephen Oxley: I'd expect that to continue pretty much as it is. It may uptick slightly as net debt drifts back up towards our target borrowing. 
Robert MacLeod: Lastly, the fuel cell catalysts, I guess when you're talking about stationary catalysts, I think you're meaning Clean Air? Or are you meaning catalysts for refills in a plants?
Alex Stewart: It's the refill catalysts for a plant. Back in 2014, there was a CMD, and I believe 20% EBIT was mentioned as an appropriate level for that. Is that the way to think about it fuel cell?
Robert MacLeod: I think fuel cell catalyst, look, at the moment, as a business, we're investing. We're investing for growth. And so, of course, when you look at the absolute operating margins, it's lower. But when we get to more sustainable margins, yes, I think we should be thinking in that sort of order of magnitude, mid-teens upwards for margins.
Mubasher Chaudhry: Given the decision for the ADT proceeds to do the buyback, is it fair to assume that the cash from the disposals for the Battery Materials and Health will also go towards shareholder return through buybacks for dividends?  And the second question is around, can you talk about the succession process for Joan? Are you looking for internal candidates to continue the strategy that was laid out by Joan or has the mandate changed for that business and, therefore, you'll be looking externally for candidates?  And then thirdly, should we expect further disposals from the portfolio over and above Health and Battery Materials as you continue down this simplification of the portfolio? 
Stephen Oxley: On buyback. So, look, the AGT proceeds help our position for a buyback. But the decision is very much a capital allocation decision. So, as I said, we expect net debt to trend back towards our target range. That is partly helped by the proceeds, or at least that gives us excess capital. That's what we will return. I'm not going to comment about where we may be in future on other transactions. But let's see. Our priority is to invest in growth in the business, as we've said, and we will review the strategy with our new chief executive to see what that means for returns. 
Robert MacLeod: Look, I think the next question was about succession for Joan. Clearly, we're disappointed the Joan is leaving, but that was for personal reasons. She's got a very strong team who have got a very clear strategy. And it's about execution of that strategy. So, the existing team that's in place will carry on running out and carry on executing and I'm very confident that they are an extremely strong team and can execute that. And, obviously, we'll look at succession. And that won't just be me looking for succession. Obviously, Liam – this will be an important part for Liam to be involved in that succession process. And again, we would look at internal and externals. But it's not about reshaping our strategy. It's about execution of the strategies that we have in place. I think it's a good strategy, a very clear strategy, all about cash generation that we've talked about.  And lastly, on further disposals, we've got the value businesses we've talked about, and Stephen mentioned they are non-core and we'll run them for cash and/or exit if that's the best way to drive the value for shareholders. Beyond that, look, I think it's up to Liam then when he comes and joins and looks at the overall portfolio and the shape of it going forward. So, I don't think it's right to talk about the other things beyond that at this stage. 
Andrew Stott: Andrew Stott, UBS. First question is on milestones and, I guess, a general conversation about communication. Robert, you said it in one of your slides that the addressable markets for hydrogen are huge and very varied because we're at such an embryonic stage, I get that. So it's even more important, I think, that we get milestones. To what extent do you have leeway in that? So, an example I'll give you is, this morning, we saw Fertiglobe come out with a 100 megawatt facility. Plug Power, a part of that consortium, and I don't see Johnson Matthey mentioned and I don't see a press release. And specifics on that, I'm not really interested in, it's more the concept. If you are involved in something like that, can we see that on the day? Are you are you bound by contractual terms, so that we never really know until it hits your P&L? So that's the first question.  The second question is back on the £4 billion of free cash flow, the commitment there. Does that include the cash costs that are going to be absorbed for restructuring? So, again, you talked about the closure of the 2023 facility? I think you said in the UK. I guess that comes with closure costs. So would they be included in the £4 billion? Or are they sort of put to the side and put in the group?
Robert MacLeod: I think the second question is very easy. Yes, they are included in the £4 billion. Simply, yes, they are.  On this first one about milestones, look, there's a balance here between what we can say and what we can't say. As I mentioned, we're talking to a lot of customers about opportunities. Sometimes the technologies haven't been selected yet, which is why the contracts aren't yet in place. But when we can talk about a contract, we will. But often, I'm afraid we can't. Look, in Clean Air, for example, we never talk about particular customers because we're bound by confidentiality. But where we can, we will. And we'll give it as best as we possibly can. Because we want to give as much clarity to you as we can.
Andrew Stott: So just coming back on that. So for example, the framework agreement you've announced today, will there come a point where we'll know what the revenues are? Or are we just going to have to, again, see how the total hydrogen revenues develop?
Robert MacLeod: I don't think we are in a position to be able on a contract by contract basis to say this contract is going to deliver this revenue. And partly on a framework contract like this, it's volume dependent, right? So I'm afraid, yes, you will have to wait a little bit to see how the numbers come through.
Andrew Stott: Stephen, you mentioned some of the mitigating factors in Clean Air. So you talked about changing shift patterns. You also intriguingly talked about changing customer terms. So, I'm interested in that. Just never easy with OEMs, as I understand it.
Stephen Oxley: Look, I'm not going to go into any detail on that, as you can imagine, but we're looking at all aspects of the cost base and our terms. And the business is, therefore, focusing very hard to deliver its margins and, of course, cash generation.
Margaret Schooley: It's Maggie Schooley from Stifel. When I think about the 11th of November announcement to exit Battery Materials, one of the key things you talked about was the commoditization of the market and the hurdles for EV adoption have been very much driven by the cost of the vehicles, of which batteries is a very big part. So, when we think about the underlying £4 billion coming from Clean Air as a function of EV penetration, I noticed that the slide that you had is the same as what it was in April. So, on one hand, we have the commoditization of the battery market and increasing penetration. Yet you haven't changed your assumptions on penetration by 2030 for EV. How can we reconcile that slightly? And is it more that actually the faster electrification scenario still underpins the £4 billion? And just strategically thinking, how can we reconcile that?
Robert MacLeod: So I think what we did six months ago is, as you rightly said, we gave you three scenarios, of which – I think it's clear that, as the market is moving forward – over the last six months and going forward, it's moving to the left. It's moving towards the faster electrification case. And that said, when we talked about the market for Clean Air and our cash flow generation for Clean Air six months ago, and again reaffirming today, even on the left hand side case, we are still comfortable that we can deliver at least £4 billion pounds of cash in that 10-year period. Faster electrification will likely impact – because it ramps up over time, the bigger impact is going to be in years 8, 9, 10 of that whole cash flow chart or that kind of cash flow generation and we're still confident that we can deliver that £4 billion, even if there's even a little bit further acceleration of the electrification.  We didn't think that it made sense for us every six months to update charts and then give revised guidance every time, but we are still confident that that £4 billion of cash is deliverable.
Margaret Schooley: Perhaps shifted to the left. And then the last question, sorry, I only have two. £250 million investment in hydrogen strategies, you currently have 2 gigawatts. Do you have implied gigawatts capacity for that investment?
Robert MacLeod: I think I knew that somebody was going to ask that question. And we'd rather not give that data. It's obviously highly commercially sensitive. But the £250 million is not just on manufacturing lines. It's also on the whole infrastructure you need to do to build the business around the balance of plant, but also the testing and application capabilities that we need to have. So, from a manufacturing point of view and the gigawatts value point of view, not all of that investment is on just pure manufacturing. I'm afraid I'm not going to give you the exact number of gigawatts. 
Margaret Schooley: It's Nicola Tang from BNP Paribas Exane. I wanted to ask, firstly, about Euro VII. I think, Robert, you mentioned earlier that you've already signed some initial contracts there. And I was wondering if you could remind us the timing and the kind of what we know so far about the technical requirements of Euro VII, and therefore, how confident you feel in terms of winning more platforms going forward and I guess the amount of R&D that you need to allocate towards that.  And then, the second question was to ask a little bit more about the link between clean hydrogen and your sort of closed loop concept in precious metals and whether you can see the same sort of working cap benefit that you see between auto cats and precious metals and whether that applies and that's a sort of competitive advantage that JMatt has versus the rest of the industry? Or is the closed loop competitive advantage just more about knowing the embedded content of your carbon within the metals that you supply? 
Robert MacLeod: Euro VII, look, it's not enacted yet. But everybody and our customers are expecting it to come into force in either 2026 or 2027 in Europe, but we don't know that particular date yet. We've already won some platforms. It's largely tightening up NOx emissions, going even tighter there. And we expect that that will come through.  The platforms that we're winning are in line with what we expected to do to deliver the £4 billion pounds of cash, as we talked about. And we are being quite selective with the platforms we win. As I said, we continue our leadership position in diesel, heavy duty and light duty, and then win the selected business in gasoline.  As I mentioned, we're not going to see a significant value uplift. Because there's more complexity in delivering the particular output that's needed from the catalyst, we'll therefore be able to maintain our pricing, we think, rather than having a – if this was no new legislation and the last platform wins, then I think pricing would come under pressure, but we think we'll be able to hold pricing where it is. On the closed loop concept in hydrogen, look, I think the strategy is for the customer to own the metal. It will be their metal, but then what they will want is they will want a catalyst coated membrane which has the lowest embedded carbon in the first place. If you can use recycled, platinum, iridium, et cetera, that has, as I mentioned, 2% of the carbon footprint than primary source metal, they'll make their electrolyzer. And then, at the end of the life of the electrolyzer, they'll want to recycle that metal to get the metal back. And so, having the ability to offer that closed loop and then give them back another low carbon catalyst coated membrane at the end of it, we think, has a competitive advantage that we can offer and very, very few other people can.
Stephen Oxley: Can I just add? You mentioned, I think, R&D on Euro VII. That is, obviously, a really important part of winning that business and will remain a significant share of our R&D expenditure for the foreseeable future as Clean Air continues to grow and recapture that business. After that point, of course, we will be able to refocus our R&D efforts even further towards our growth opportunities. 
Andrew Stott: Can you say a bit more on the Health process? Do you have several parties interested? Are you operating with one party? Or is this strictly a no comment?
Robert MacLeod: Nice try, Andrew. It's a strictly no comment, I'm afraid. 
Unidentified Participant: Just following-up on that question on Health, I hope you have a comment on this one. But the issues you're seeing with retention of people and the labor market disruptions in the US, which I think we can all see clearly in the newspapers, but how confident are you that you're not losing employees because Health is effectively on the block and in the process of being sold, which is generally a huge disincentivization for people to stay? Is that something that you've thought about? Is that something you can comment on or you can give us some comfort that it's not a systemic problem?
Robert MacLeod: That's a very fair question. It's one we've wondered ourselves. Look, I think our facilities are in the northeast of the US, New Jersey and Massachusetts, near Boston area, where it's a very hot pharma market, and so there is a lot of activity, a lot of churn going on, not just for us, but for the whole industry. Most companies have a significant staff turnover, rotational staff going on in the northeast of the US. At the margins, maybe there's an impact on us with the strategic review. But I don't think that's the biggest element of it. I think the biggest element of it is this rotation. We don't expect it to carry on rotating forever. We think it'll settle down and then we will be able to build stuff up again.
Unidentified Participant: And I guess related to that, when it does settle down, how much more you're going to have to pay people?
Robert MacLeod: The pay rises are not insignificant at the moment. 
Operator: [Operator Instructions]. We have one question from Chetan Udeshi from J.P. Morgan. 
Chetan Udeshi: The first question I have is just looking at the new divisional split within Clean Air. And I'm just trying to do some math here in terms of light duty diesel. If I remember correctly, in the past, the message was light duty diesel is about 80% of European light duty sales. But just looking at the total light duty sales, sales are probably 120 million more pounds of sales for the first half of last year, which is almost 40% of North American and Asian light duty business. I'm just curious if the diesel light duty business outside Europe are also significant. And can you remind us if there are any ongoing shift which are happening in those regions from diesel to gasoline as well? That's the first question.  The second question was, I was curious in your comment around being selective on Euro VII. Like, what prompts you to be selective? Is it the fact that maybe the market is becoming more competitive as people try to grab as many new platforms on the EU VII and maybe there's a bit pricing pressure? Because, I'm curious, why would you not monetize as much of your IP across a higher volume base rather than being selective? 
Robert MacLeod: Chetan, I think the line was really difficult. So if I don't answer your questions properly, that's perhaps because I misunderstood them. But I think your first question was wanting to know a little bit about light duty diesel and what's happening there in Europe.  Look, we continue to see a decline in the diesel share, no surprise there. Everybody is seeing that in the external market. Last year, of course, the market was impacted by COVID, virtually no activity at all. So, therefore, growth this year is because of recovery in the market. But as I think I answered a question earlier on, we're not seeing a shift in our market share of the diesel platforms. There's been a little bit of a platform mix change, which has meant we've had more sales in our half than maybe other diesel. But that's just a platform mix, which will likely reverse in the second half.  As far as diesel to gasoline and the switch from diesel to gasoline, that's happening in the external market and our shares are moving in line with that. Being selective on Euro VII, look, this is all part of our strategy around delivering the £4 billion of cash because we need to look at which platforms we want to win, how does that marry up with our manufacturing capacity to make sure that we optimize our footprint and optimize our cost base. And when you're looking at that, then you're selective on the business you want to win. This is not a comment about whether some of this business is good business or not. It's just about how do we optimize and maximize our cash generation from this business? That's our strategy.
Chetan Udeshi: Maybe if I come back to the first question, Robert, it wasn't necessarily on the European diesel. It's on the diesel market outside Europe for light duty because your sales imply that you have probably 40% of your light duty Asia and light duty North American business which is diesel. So I'm just curious, what are the trends in the diesel market outside of Europe?
Stephen Oxley: Chetan, I think I understand the question. I wouldn't read anything into the numbers in the half. We're clearly seeing disruption through the microchip shortages and expect those to kind of wash through, but we're not seeing any fundamental change to the business.
Robert MacLeod: I don't think there are any more questions on the line.
Operator: There are no questions, sir. You can go ahead.
Robert MacLeod: No questions on the line. So, we'll call it a day. Look, thank you very much indeed for your time. And I won't see you next time. So, thank you very much, everybody. And I look forward to sitting in your seats next time to listen with interest about the progress that Johnson Matthey makes. So, thank you very much for your time and your questions. See you again. Bye.